Operator: Good morning and good evening, ladies and gentlemen. Thank you for standing by for Yalla Group Limited Third Quarter 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. After management's prepared remarks, there will be a question-and-answer session. Today's conference call is being recorded. Now, I will turn the call over to your speaker host today, Ms. Kerry Gao, IR Director for the company. Please go ahead, ma'am.
Kerry Gao: Hello, everyone, and welcome to Yalla's third quarter 2022 earnings conference call. We released our earnings earlier today, and the release is now available on our IR website as well as on Newswire services. Before we continue, please note that the discussion today will contain forward-looking statements made under the safe harbor provision of the US Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, our future results may be materially different from the views expressed today. Further information regarding this and other risks and uncertainties is included in our earnings release and our annual report filed with the SEC. Yalla does not assume any obligation to update any forward-looking statements, except as required by law. Please also note that Yalla's earnings press release and this conference call include a discussion of unaudited GAAP financial measures, as well as unaudited non-GAAP financial measures. Yalla's press release contains a reconciliation of the unaudited non-GAAP measures to the unaudited most directly comparable GAAP measures. Today, you will hear from Mr. Tao Yang, our Chairman and Chief Executive Officer, who will provide an overview of our latest achievements and growth strategies. He will be followed by Mr. Jeff Xu, our Chief Operating Officer, who will give a brief review of our recent developments. Ms. Karen Hu, our Chief Financial Officer, will then provide additional details on the company's financial results and discuss our financial outlook. Following management's prepared remarks, we will open up the call to questions. Mr. Saifi Ismail, the company’s President is unavailable for today’s call due to a personal emergency. With that said, I would now like to turn the call over to our Chairman and Chief Executive Officer, Mr. Tao Yang. Please go ahead, sir.
Tao Yang: Thank you, Kerry, and thank you, everyone, for joining our third quarter 2022 earnings conference call. We are pleased to have delivered another strong quarter with record revenue of US$80.1 million, exceeding the higher end of our guidance by 6.8%. This also represents a third consecutive quarter of record-breaking revenue for the company and underscores our unique capability in driving business growth at a solid pace, while continuing to develop our integrated product ecosystem. Such robust quarterly results are underpinned by our continuous efforts to refine our operational processes, optimize user acquisitions and further drive our product monetization. Together, these actions have effectively improved our user experience, thereby further boosting Yalla's and Yalla Ludo engagement and users willingness to pay on our platform. Also, our impressive quarterly results are a testament to our core strategy, as well as our operational improvements. As we further deepen our expertise and broaden our product portfolio in MENA, we are confident in our future growth potential. Now, let's take a closer look at our new product update, leveraging our extensive industry-leading experience in social and online entertainment in MENA, we established Yalla Game to explore the mid-core hard-core game distribution business as a complement to our casual game portfolio. For this quarter, Yalla Game has taken a crucial step. We are excited to share with you that after several months of collaboration with the gaming studio we invested in, we have launched the beta version of our first hard-core mobile game, Merge Kingdom in a lot of MENA country. We will soon begin to get our user feedback and actively fine tune the product through the beta stage, paving the way for full-on promotion. We will share more details and metrics with you on our next call. The second hard-core game that we plan to distribute in the region, the RPG game is on track to be launched by the end of this year. Moreover, EMEA is becoming the next popular emerging market and continues to attract attention from more and more gaming studios. We remain open to discovering good gaming content and potential collaborators with whom we can jointly further explore the MENA market. We look forward to sharing more updates with our investors in the near future. We are also very excited to report that we recently launched the YallaChat version 1.3, which we have already developed into instant messaging product with a broad array of localized and customized functions. In this quarter, we added more engaging functions into the product. And as we shared previously, we are enhancing YallaChat by leveraging a unified login system. Over the past two quarters, we have upgraded our platform and hosted campaigns to encourage users to log into Yalla and Yalla Ludo using their YallaChat chat account and to motivate more Yalla Group users to register for YallaChat account. In addition, this quarter we launched Yalla Ludo mini program within the YallaChat app. Yalla Ludo is the number one table top game across MENA. Yalla Ludo users now have full access to their game assets and get data in the game app when using Yalla Ludo mini program in YallaChat. We believe this is a crucial step to build the product synergies and at the same time, increase user stickiness to our app. Next, let's take a look at our Waha product, the first-ever social metaverse designed for the MENA region. In Q3, we rolled out a number of new functions to enhance Waha’s gamification and entertainment features. First, we continue to launch new social scenes in Waha, including Disco scene in this quarter, in which users can dance and play the role of DJ on stage. Second, beyond voice chatting with friends in Waha rooms, users can now also play music and video, creating a virtual theater space for sharing their favorite entertainment while hanging out with their friends. In addition, to further build out the product product's gamification, our team began to roll out mini games in Waha rooms, encouraging user engagement and boosting user interactions. We will continue to monitor the latest trend and upgrade Waha accordingly to keep providing our users with fun and cool functions that are tailored to local culture and trends. Before I wrap up, I am thrilled share with you that our President, Mr. Saifi Ismail has been named one of the regions 50 most inspiring business leaders of 2022. By the prestigious magazine Arabian Business which is the Middle East region's top resource for informed news, features and commentary. Its output includes interviews with some of the world's leading businesspeople and long-form features from around the Middle East. Congratulations, Saifi. In conclusion, I'm happy with our ongoing solid results this quarter. Over the past six years, we have shown our strong focus on and commitment to MENA, its people and its culture. We strive to explore new products to meet MENA users evolving needs and remain dedicated to facilitating digital transformation throughout the region. As a tech leader in MENA, we will continue to expand our services and stretch the boundaries of our business, while further deepening synergies among our different products and services to drive brand loyalty among users and improve our platform's brand influence. Once again, our vision is to build the most popular destination for online social networking and entertainment activities in MENA and we remain steadfast in our pursuit of this goal.. Now I will turn this call over to our COO, Mr. Jeff Xu for a closer look at our recent developments.
Jeff Xu: Hello, everyone. Thanks for joining us today. First of all, I'm pleased to tell you that Yalla was recently invited to attend the 6th Future Investment Initiative in Riyadh, titled Investing in Humanity, enabling a new global order hosted by the Future Investment Initiative Institute. The event brought together the world's foremost CEOs, policymakers, investors and entrepreneurs to discuss and shape the future of international investments and the global economy. Yalla was honored to participate as a featured speaker on the From Seed to Unicorn Empowering Youth Entrepreneurship panel, where we discussed the intersection of innovation, entrepreneurship, youth and talent and shared Yalla’s story with the local and international investment community. Yalla group is proud to contribute to such events throughout MENA, helping to promote our region's talent, potential and unique local perspective to broader audience. demonstrating our commitment to promoting a healthy and a well-managed sector environment that participate the development of local digital economies. Next, let's turn to our operations as well as our product performance in this quarter, our team's ongoing efforts to refine our content offerings and user operations, further bolstered user engagement as well as our paying ratio and advanced our monetization capability. As a result, we are pleased to report another robust quarter with Yalla Group total revenue of US$80.1 million, beating the higher end of the company's guidance. In addition, our monthly active users increased 19.1% year-over-year, reaching $30.9 million. Yalla Group paying users also increased to $11.5 million. Now a closer look at our casual game portfolio. Yalla Parchis ranked in the top five in terms of revenue in the Board game category in 10 countries, including Columbia, Mexico, Chile and Spain. During Q3, we hosted a number of targeted events to encourage user activity on the platform. For example, our tomato fight events, which was inspired by the traditional Spanish Festival, La Tomatina, attractive participation by more than 60% of our daily active users and improved the diamond consumption on the platform by more than 20%. We will continue to find innovative ways to build the products use the community and strengthen its monetization capability. For 101 Okey Yalla, after closing monitoring its operations for several months, we decided to add an independent Majlis or chat room function to the app as the function has been proven effective in boosting our product monetization capability. Beyond that, we also decided to increase our sales and marketing spend on this product and to invest more to acquire IOS users. As a result, we have witnessed a decent improvement in both 101 Okey Yalla’s number of paying users and paying ratio, while its total revenue improved by more than 100% compared with that of the previous quarter. Although 101 Okey Yalla accounts for only a limited part of the group's revenue, we still see this as an encouraging improvement in products in current stage. For Yalla Baloot, during the quarter, we continued to upgrade the product and launched several new game modes for fulfilling players diversity and preferences as well as increasing app gamification. Yalla Baloot targeting important market in MENA, and we will continue to tailor the specification of its product design while collating user feedback. With respect to monetization overall, we continue to explore innovative methods and channels across our portfolio. Let's look at Yalla Ludo, one of our flagship products, as an example. Yalla Ludo generally demonstrate great monetization potential, thanks to its widespread, popularity and broad appeal. This quarter, we boosted its monetization even further the joint marketing efforts with our channel partner for the distribution of gift cards. This partner has launched a successful promotion campaign for Yalla Ludo in MENA, enabling us to reach more potential paying users. As a result, the channel sales of Yalla Ludo gift cards grew by more than 30%, compared with the sales before the campaign. Interestingly, the majority of the sales came from first-time purchasers of Yalla Ludo gift cards, highlighting certain unfulfilled account recharging lease and presenting an opportunity for us to creatively attract new users while improving monetization across our gaming portfolio. We are encouraged by this progress and will further expand our payment methods to continuously improve our users' experience while creating more revenue streams for our company. Before we move on to financials, I'd like to mention that we at Yalla Group, extremely honored and privileged to be the Gold sponsor of City Talk, a new influencer marketing industry forum, which brought together more than 500 social media influencers from varied countries in the Arab world in October in Jordan. Yalla is a user-generated content platform. We have deep relationships in the Arab influencers' community, providing a mutually beneficial conduit for sharing ideas, opinions and experience. These connections empower to keep up with current trends, identify new opportunities and remain part of the conversation online. As MENA's largest online social networking and entertainment platform, we are also a valuable partner to influencers in promoting the development of the digital economy, a mission we all share. As we reiterate every quarter, Yalla aspires to become the number one online social networking and entertainment platform in the MENA region. We have always been committed to providing the people of MENA with better access to a digital life and we consistently enrich our product and service offerings and strengthen our partnerships with local channels to foster netizen communities throughout the Arab world. We are well positioned to capitalize on potential growth opportunities in the MENA region and look forward to delivering value to all of our stakeholders as we strive to achieve our mission. With that, I will now turn the call over to our CFO, Karen, who will discuss our key financial and operational results.
Karen Hu: Thank you, Jeff. Hello, everyone. Thank you for joining us. We delivered another outstanding set of financial results in the third quarter of 2022 with group revenues reaching a record US$80.1 million, up 12.3% year-over-year. Thanks to our enhanced gamification and entertainment features, we also saw robust growth in paying users, driving our group's paying ratio to 37.4%. Furthermore, we maintained healthy profitability with a GAAP net margin of 30.5%. And excluding share-based compensation, a non-GAAP net margin of 36.7% all the while investing in innovation across our portfolio and strategically boosting in our marketing spend. Going forward, we will continue to expand and integrate our Yalla ecosystem, optimizing operational efficiency and explore new monetization avenues to propel our long-term growth and support sustainable returns to shareholders. Now, I would like to walk you through our detailed financials for the third quarter of 2022. Our revenues were US$8.1 million in the third quarter of 2022, a 12.3% increase from US$71.3 million in the same period last year. The increase was primarily driven by the broadening of Yalla Group's user base and enhancement to Yalla Group's monetization capabilities. Our average MAUs increased by 19.1% from 25.9 million in the third quarter of 2021 to 30.9 million in the third quarter of 2022. Now, let's look at our costs and expenses. Our cost of revenues was US$29.6 million in the third quarter of 2022, a 26.3% increase from US$23.4 million in the same period last year, primarily due to an increase in technical service fees resulting from the expansion of our product portfolio and the increase in salaries and benefits resulting from the expansion of our operation and the maintenance team. Cost of revenues as a percentage of our total revenues increased from 32.8% in the third quarter of 2021 to 36.9% in the third quarter of 2022. Our selling and marketing expenses were $12 million in the third quarter of 2022, a 9% increase from $11 million in the same period last year, primarily due to higher advertising and marketing promotion expenses led by our continued user acquisition efforts and expanding product portfolio. Selling and marketing expenses as a percentage of our total revenues were 14.9% in the third quarter of 2022, decreasing from 15.4% in the same period last year. Our general and administrative expenses were $8.6 million in the third quarter of 2022, a 16.9% increase from $7.3 million in the same period last year, primarily due to an increase in performance-based incentive compensation and an increase in professional service fees. General and administrative expenses as a percentage of total revenues increased from 10.3% in the third quarter to 10.7% in the quarter of 2022. Our technology and product development expenses were $5.5 million in the third quarter of 2022, a 42.2% increase from $3.9 million in the same period last year. This was primarily due to an increase in salaries and benefits for our technology and product development staff, driven by an increase in the headcount of our technology and product development staff to support all the development of new businesses and expansion of our product portfolio. Technology and product development expenses as a percentage of total revenues increased from 5.4% in third quarter of 2021 to 6.9% in the third quarter of 2022. As such, our operating income was $24.5 million in third quarter of 2022 compared with $25.7 million in the same period last year. Excluding share-based compensation, non-GAAP operating income in the third quarter of 2022 was $29.5 million. Our operating tax expense was $0.79 million in the third quarter of 2022 compared with $0.42 million in the same period last year. Moving to the bottom-line, our net income was $24.4 million in the third quarter of 2022 compared with $25.3 million in the third quarter in the same period last year. Excluding share-based compensation expenses, non-GAAP net income for the third quarter of 2022 was $29.4 million. Next, I would like to briefly go through our liquidity and capital resources. As of September 30, 2022, we had cash and cash equivalents of $390.2 million as compared with cash and cash equivalents of $384.9 million as of June 30, 2022. This improvement demonstrates our ongoing commitment to streamlining and refining Yalla Group's operations. On May 21, 2021, we announced the 2021 share repurchase program. As of September 30, 2022, we have repurchased 2,302,141 American depository shares, representing 2,302,141 Class A ordinary shares from the open market with cash for an aggregate amount of approximately US$27 million. In the fourth quarter of 2022, we expect our revenues to be between US$70 million and US$76 million. The above outlook is based on the current market conditions and reflects the company's management current and preliminary estimates of market and operating conditions and customer demand, which are all subject to change. This concludes our prepared remarks for today. Operator, we are now ready to take questions.
Operator: Thank you. We'll now begin the question and answer section. [Operator Instructions] First question will be from Kaifang Jia of CITIC. Please go ahead.
Kaifang Jia: Hi, management, can you hear me?
Kerry Gao: Yes.
Kaifang Jia: Okay. Thanks for taking my question and I have two. The first is can management provide some details about new business like gaming and chatting, and will you have a monetization plan in the next year? And my second question is, how does the management see the margin and OpEx moving over the next several quarters?
Tao Yang: Hey, good morning. Thank you very much, Kaifang. Good morning. I will take the first question and I think the second question will be taken by our CFO. Our new instant message product YallaChat reflects our observations respecting local MENA users social habit and new preferences. And we have continued to roll out various localized and entertaining features to fulfill users, diverse needs with the IM products. We launched a marketing campaign for YallaChat in November, and some of you may have already seen YallaChat ranked among the top three on the app store, download ranking in certain regions. We are excited about the strong performance. But it's still in a very early stage, and we will need more time to test in market. We strongly believe that a dedicated IM product with features customized for MENA users is the a necessity, and we will strive to achieve this goal. In the short run, or at least in 2023, we don't expect to start monetization on YallaChat. The focus for the product in this stage will still be expanding the user community. Our expectations for our gaming distribution business are different. Gaming does account for part of our revenue expectations for next year, but since we just recently launched the SLG game, it will take some time to collect user feedback and give an estimate on the scale of its revenue. We will share more details with you next quarter. Thank you. Karen will take the second question.
Karen Hu: Thank you, Mr. Yang. Thank you very much, Kaifang. This is Karen. About the margin and the OpEx moving, I think that with the current pace of our development, the non-GAAP net margin can be maintained around 35% this year. However, since we just launched the marketing campaign for YallaChat in November, and we may need to invest more in sales and marketing during Q4. We will continue to adjust our campaign strategy for YallaChat according to the market feedback. Therefore, the budget for these campaigns is not a fixed number. It is subject to change. In past years, we focus on the development of our two successful flagship applications. And the year of 2022 is a year of -- for our adjustment as we aim to add more applications to our product portfolio. We have invested more to successfully complete this portfolio expansion with the goal of diversifying our future revenue streams and building Yalla into a larger Internet platform. During this process, some of our new products like YallaChat and the game distribution business are not contributing to our current revenue, because we still need to invest in their R&D and the sales and marketing. Giving all that, as we mentioned in the last quarter, I would say that, it's fair to expect our non-GAAP net margin to remain around 30% in next few quarters. The target remains unchanged, and we think this will significantly benefit the company's long-term goals. Thank you, Kaifang. I hope I answer your questions.
Kaifang Jia: Thank you. That’s very helpful.
Kerry Gao: So operator, we're ready for the next question.
Operator: Thomas Shen, please go ahead with your questions, please.
Thomas Shen: Hi, good morning management. Thank you for taking my question. I have a multiple questions. The first one is could management elaborate more on the company's marketing strategies going forward? I also have another question on games, can management share more details on the game pipeline for next year? Thank you.
Jeff Xu: Thank you very much, Thomas Shen for your question. This is Jeff. You asked a very good question. So for the first question, the marketing strategy is an issue that our team thinks about and discussed constantly. First, I want to highlight again that the dynamic market environment is an important factor and we may adjust our marketing strategy accordingly anytime. For now, if you ask my view on next year's user acquisition plan, I would say the pace will be pretty similar to these years. We will maintain our disciplined sales and marketing strategy and focus on ROI of our spending. The second question regarding the game pipeline. Beyond the SLG game and the RPG game that we are working on, we have also started to explore mid-core games. We may look for some good studios to collaborate with or we may also invest in some, as we did previously with our hardcore games. We are still in an early stage. So I will share with you more details in the future. Thank you for your question again.
Operator: Thank you. The next question will be from Edward Wang of Credit Suisse. Please go ahead.
Edward Wang: Hi management, appreciate for the presentation and congratulations on the robust quarterly results. So I would like to follow up on questions about YallaChat. YallaChat has launched several mini program functions in the past two or two quarters. What will be the positioning of mini programs in the future? Thank you.
Jeff Xu: Hi Edward, good morning, and thank you very much for your questions. Yes, we continue to roll out mini programs to provide diverse functions to fulfill our users' various needs.. We see significant potential in mini programs. It is a flexible and efficient way to expand the services that we can provide with our YallaChat. Our team rolled out mini social games like hop up and then the Athan feature and now the Yalla Ludo mini program. It's still in the early stage, but I think there is a lot more we can do with mini program. We will keep you posted on the progress. Thank you.
Edward Wang: Thanks. That's helped a lot.
Jeff Xu: Thank you
Operator: Thank you. The next question will be from Xueqing Zhang of CICC. Please go ahead.
Xueqing Zhang: Good morning, gentlemen. Thanks for taking my question. I have two questions. The first one is that the company's revenue in the third quarter, this company's guidance as the market expectation. So just wondering, what's the driver is driving by Yalla Luda and it's dominated by paying user or by ARPU? And my second question is related to Yalla Parchis. Just to mention in your prepared remarks, a number of Parchis events you have built for Parchis user community. So, can management share with us the current user level and how we improve its monetization capabilities? Thank you.
Karen Hu: Good morning, Xueqing. Thank you for your two questions. Our products have been making good progress over the past quarter. As you can see in Q3, the growth was mainly driven by the increase in paying users. But it's hard to determine whether paying user or ARPU will determine growth in the future. We dynamically adapt our operational strategy and sales and marketing strategy according to the market situation and user feedback. So it varies every quarter. And for Parchis, so we contently only disclose and MAUs at group level. But in general, our user acquisition strategy focus more on the ROI of our investments in sales and marketing. Our group MAU growth rate remains at around 3% quarter-over-quarter. And in terms of monetization, purchase performance is encouraging. And the product is now generating not only revenue, but also gross profit. That's excellent sign. And we are doing more work on boosting the monetization of this product. We look forward to sharing more details with you in next quarter. Thank you. Thank you, Xueqing.
Xueqing Zhang: Thank you. Thank you, Karen.
Operator: Thank you. Our next question will be from Chenghao Li of CICC. Please go ahead.
Chenghao Li: Hi, management for taking my question and congratulations on another solid quarter. I have two questions. Could management please share some color or change on the competitive landscape in the MENA region. And secondly, we can see the paying ratio continues to improve in recent quarters. So how should we expect the Yalla’s paying ratio and ARPU to change in the future?
Karen Hu: Thank you, Chenghao, and good morning. And we mentioned last quarter, the MENA emerging market with great potential. We started our business here six years ago. And as a leading company in the region, we have achieved certain milestones that have been also recognized by the industry. In recent years, many strong Internet peers have entered the market, such as Bytedance, Bigo and some mobile gaming apps. It's exciting. And it's also a testament to region's market potential, Thanks to all of these owners' growing businesses in MENA, more and more investors are now studying this market, which is very important for the industry's prosperity. and I want to reiterate that competition is never bad; it inspires us to refine our product design learn from our users, study new technologies and industry trends and to drive innovation. As a leading player in this region, we will take proactive step to cement our position and remain confident in our capabilities after all these years. Thank you, Chenghao,
Chenghao Li: Thank you.
Operator: Thank you. The next question will from Yulin Zhong of Haitong International. Please go ahead.
Yulin Zhong: Thank you. Thanks for taking my question. I have two questions. Number one, could you share more color on the macro impact in MENA area? And how could that impact your fundamentals going forward? And the number two, we saw very encouraging results in your refined operational strategy So could you elaborate more about your user metrics stream and operating strategy in the negative core products, such as Yalla and Yalla Chat? Thank you.
Tao Yang: Good morning. Good morning, and I will take these two questions. Last quarter, we mentioned that MENA’s macro environment is improving compared to the previous year. COVID is easing and oil price are also rising. After another quarter, we are still not seeing big changes. I think consumers in MENA remains confident -- if we look at our product performance, we delivered another quarter of record high revenue. Our momentum is strong so far. Also, we are seeing government paying more attention to facilitating the development of the digital economy. Second, such as gaming, e-sports, web 3 are hot topic and are getting more attention and resources than before. I believe these are good signs. And about our user metrics and operation strategy in our products. Yalla Ludo our flagship applications. They are our group's main revenue contributors and their operations and development are significantly important to the company's performance every quarter for Q4 and next year. We will continue with our operational refinement strategy. In terms of our user acquisition strategy, as just mentioned, the pace will be similar to the Yalla and Yalla Ludo will still play crucial roles in Yalla group development next year. Thank you, Yulin.
Yulin Zhong: Thank you. Best of luck.
Operator: Thank you. The next question will be from Zemin Chen of Huafu Securities. Please go ahead.
Zemin Chen: Good morning, gentlemen. Thank you for good performance. I have a question about the traffic in our ecosystem and can management share how traffic is connected and coverage across the different apps. Thank you.
Tao Yang: Hi. Thank you for your question. So actually, the conversion effectiveness between our apps is very encouraging. We are seeing promising feedback and data. Also, we think that the conversion possibly impact our users' long-term LTV, we built a product ecosystem that provides diverse services to fulfill MENA users' various online social networking and entertainment needs. When we decide to convert users from one app to another, usually, these two products represent different sectors and provide distinct services. largely facilitating the improvement of users of total LTV on the Yalla whole Platform. Thank you, hope I answered your question, well. Thank you.
Zemin Chen: Thank you.
Operator: Thank you. That concludes our prepared remarks. Our question-and-answer session is now over. There are no further questions. I'd now like to turn the call back over to management for their closing statements.
Kerry Gao: Thank you once again, for joining us today. We look forward to speaking with you in the next quarter. If you have further questions, please feel free to contact Yalla's Investor Relations through the contact information provided on our website or the Piacente Group Investor Relations.
Operator: The conference is now concluded. You may now disconnect. Thank you. Thank you.